Operator: Good day, ladies and gentlemen. Welcome to the Ingersoll Rand First Quarter 2015 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Joe Fimbianti, Director of Investor Relations. Please go ahead, sir. 
Joseph Fimbianti: Thank you, Danielle. Good morning. Welcome to Ingersoll Rand's First Quarter 2015 Conference Call. We released earnings at 7:00 a.m. this morning and the release is posted on our website. We'll be broadcasting, in addition to this phone call, through our website at ingersollrand.com, where you will find a slide presentation that we'll be using this morning for the call. And this call will also be recorded and archived on our website.
 If you would, please go to Slide 2, which is our safe harbor statement. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the safe harbor provisions of federal securities laws. Please see our SEC filings for descriptions of some of the factors that may cause our actual results to vary materially from our anticipated results. This release also includes non-GAAP measures, which are explained in our financial tables to our news release.
 With me this morning on the call are Mike Lamach, Chairman and CEO; and Sue Carter, Senior Vice President and CFO. So if you will please turn to Slide #3, I'll turn the call over to Mike. Mike? 
Michael Lamach: Great. Thank you, Joe. Good morning, and thanks for joining us. In the first quarter, our adjusted earnings per share was $0.38, an increase of 31% versus last year's quarter. We closed 2 acquisitions in the quarter. The acquisition of the Cameron centrifugal compressor division closed on January 1, so results were included for the entire quarter. We also closed the acquisition of FRIGOBLOCK in early March, so that had a very minimal impact in the quarter given that less than 1 month of results were reported. Both integrations are going very well. Cameron compressor achieved our forecast for bookings, revenue and operating income. We are seeing some early traction on cross-selling and synergies, and we expect continued progress for the balance of 2015.
 Currency had a significant impact throughout the results. So in our comments today, we will mainly focus on organic growth, which excludes currency and acquisitions, so that you can get a better view of end market trends.
 In the first quarter, we saw solid organic revenue growth of 8%, led by strength in the U.S. and Europe, particularly in the Climate segment. Order rates remain healthy in the first quarter at 5%, excluding currency and acquisitions.
 Adjusted operating margins increased 40 basis points, and increased to 100 basis points excluding the impact of currency, and bringing Cameron results into our financial statements for the first time.
 Adjusted EPS for the quarter was $0.07 above our adjusted EPS guidance midpoint of $0.31. The improvement primarily came from higher-than-expected volume, mainly in North America, and good cost control and execution to our plan. Foreign exchange translation negatively impacted the quarter by about $0.01 compared with guidance, however, this was more than offset by FX gains recorded in other income.
 Now Sue will walk you through the first quarter in more detail, and then I'll come back to take you through our outlook. 
Susan Carter: Thank you, Mike. We're very pleased with our performance and our execution in Q1. And as Mike talked about, you're going to see a lot of moving pieces with currency and purchase accounting, and we're trying to provide you with a lot of details to facilitate your understanding of the quarter in both the slides and in our comments. So if you would go to Slide 4.
 Orders for the first quarter of 2015 were up 3% on a reported basis and up 7% excluding both -- excluding currency. Orders were up 5%, excluding both FX and acquisitions. Climate orders were up 2% and up 6% excluding currency. Global commercial HVAC bookings were up mid-single digits on a reported basis and by high single digits x currency. Transport orders were up low single digits and up high single digits x currency. Organically, Thermo King had strong order growth in North America and high-teens growth in Europe. Orders in the Industrial segment were up 3% on a reported basis and up 9% excluding currency. Orders for Industrial were up 2% excluding currency and acquisitions. We saw organic orders increase by low single digits in air and industrial products and improve by high single digits in Club Car. If you would go to Slide 5.
 Here's a look at the revenue trends by segment and region. The top half of the chart shows revenue change for each segment. For the total company, first quarter revenues were up 6% versus last year on a reported basis and up 8% on an organic basis, which excludes both foreign exchange and acquisitions. Climate revenues increased 6% on a reported basis and 9% x currency. Commercial HVAC was up high single digits and transport revenues were up mid-teens, both x currency. Residential HVAC revenues were up high single digits. Industrial revenues were up 7% on a reported basis, up 13% excluding currency, and up 4% excluding currency and acquisitions. And I'll give you more color on each segment in the next few slides.
 The bottom chart shows revenue change on a geographic basis with and without currency. Excluding currency, revenues were up 10% in the Americas; 22% in Europe, Middle East and Africa, led by strong HVAC performance; and Asia was down 3%. If you back out acquisitions as well as foreign exchange, the primary change is in the Americas, which would be up 8%. Please go to Slide 6.
 This chart shows the change in operating margin from first quarter 2014 of 5.7% to first quarter 2015, which was 5.9%. Consistent with prior quarters, this is shown on a reported basis, and we've spiked out the restructuring to get you to adjusted margins as well.
 Volume, mix and foreign exchange, collectively, were 40 basis points positive versus prior year. Price was positive but was slightly less than direct material inflation. Pricing was most competitive outside of North America.
 Productivity versus other inflation was positive 80 basis points, driven by strong productivity in the quarter. Productivity favorability was in direct materials, G&A and solid execution, including the third phase of our ERP implementation in the first week of April.
 Year-over-year investments and other items were 80 basis points. This was the first quarter which included results from Cameron and, as expected, impacted margins by 50 basis points due to inventory step-up and intangible amortization. In the box, you can see 60 basis points of headwind from investments and 30 basis points positive from lower restructuring costs.
 In the gray box at the top of the page, overall leverage on an adjusted basis was 12%. Backing out currency and acquisition results, leverage was approximately 20%. Please go to Slide 7.
 The Climate segment includes Trane commercial and residential HVAC and Thermo King transport refrigeration. Total revenues for the first quarter were $2.2 billion. That is up 6% versus last year on a reported basis and up 9% x currency. Global commercial HVAC orders were up mid-single digits on a reported basis and up high single digits x currency. Organic orders were up in all geographic regions, with notable strength in North America and Europe.
 Trane's commercial HVAC first quarter reported revenues were up mid-single digits and up by high single digits x currency. Commercial HVAC equipment revenues and HVAC parts, services and solutions revenue were both up high single digits versus prior year x currency. We saw year-over-year gains in both applied and unitary ducted and ductless equipment.
 Thermo King reported orders were up low single digits and high single digits versus 2014's first quarter x currency 
 [Audio Gap] 
 organic orders increased in all regions except Latin America.
 Thermo King reported revenues were up high single digits and up by mid-teens x currency, with strong gains in North America truck and trailer and auxiliary power unit. In Europe, organic revenues were up high single digits.
 Residential HVAC revenues were up high single digits, with volume gains in all major residential product categories as well as in light commercial products, which were up low double digits for the quarter. The adjusted operating margin for Climate was 7% in the quarter, 40 basis points higher than first quarter 2014 due to volume and productivity, partially offset by inflation, currency and higher investment spending. Please go to Slide 8.
 First quarter revenues for the Industrial segment were $729 million, up 7% on a reported basis and up 4% organically, which excludes the Cameron acquisition and currency. Air systems and services, power tools, fluid management and material management organic revenues and orders were both up low single digits versus last year. Organic revenues in North America were up low single digits, while revenues in overseas markets were flat.
 Club Car organic revenues in the quarter were up high teens from improved sales of golf cars and utility vehicles. Organic orders were up high single digits versus prior year.
 Industrial's adjusted operating margin of 11.9% was slightly down compared with last year as we're in the early days of the Cameron acquisition, including heavy purchase accounting impact and negative currency. For this segment, price offset direct material inflation and productivity offset other inflation in the quarter. We achieved our Q1 plan for the Cameron acquisition and the business will continue to add benefit as we continue the integration process. Industrial's organic operating margin at constant currency was 13.9% for Q1, an increase of 180 basis points over prior year. Please go to Slide 9.
 For the first quarter, working capital as a percentage of revenue was 6.3%. The increase versus prior year is primarily inventory. This includes some incremental inventory related to the regional standards change in residential HVAC and additionally, we have intentionally increased stock inventory levels of key component assemblies in order to ensure availability of supply as we enter the prime selling season for commercial and residential HVAC product. We had good collections in the quarter, with our days sales outstanding and days payable outstanding both improving over the prior year.
 Our balance sheet remained very strong. We have no debt maturities this year given the financing we did last October and the early retirement of the 2015 note. Our cash balance is at normal levels. We expect free cash flow in 2015 to be in the range of $950 million to $1 billion.
 Before I conclude, you saw that we devalued our assets in Venezuela in the first quarter due to the ongoing decline of the Venezuelan currency. This charge was recorded in other income and expense, and we've adjusted it out of earnings per share given its unusual nature.
 And with that, I will turn it back to Mike to take you through our guidance. 
Michael Lamach: Okay. Great, Sue, thank you. Please go to Slide 10. Overall, our forecast has not changed materially since the last call in January. North American institutional markets were up in the first quarter and we expect to have a positive year, albeit at a more moderate pace than the current Dodge forecast. We also continued to see growth in commercial and industrial buildings and retrofit. Based on this, we expect mid-single-digit growth for 2015 in North American commercial HVAC markets. We expect Latin American, Asian, European and Middle East HVAC markets in the aggregate to be up low to mid-single digits at constant currency but flat to down after considering currency.
 We expect North American transport markets to be up mid-single digits in 2015 and European markets to be down, including FX. We expect residential HVAC industry motor-bearing unit shipments for the year to be up low to mid-single digits and revenues should be up mid- to high single digits due to favorable mix.
 We expect industrial markets to be up low to mid-single digits. Golf markets are expected to be up low single digits.
 Aggregating those market backdrops, we expect our reported revenues for full year 2015 to be up 4% to 5% versus 2014. Overall, foreign exchange will be a headwind of about 3 percentage points, and we expect the Cameron centrifugal business to add 3 points for the year. So for organic growth, excluding foreign exchange, we end up back at the 4% to 5% range.
 Translating that to our full year outlook by segment, we expect Climate revenues to be up 2% to 3% on a reported basis and 4% to 5% excluding currency.
 For the Industrial segment, revenues are forecast to be in the range of up 13% to 14% on a reported basis and 4% to 5% excluding Cameron and foreign exchange. Industrial has a higher proportion of revenues outside of the U.S. than Climate, so Industrial experiences more impact from FX as compared to Climate.
 For operating margins, we expect Climate margins to be in the range of 12.5% to 13.5%. We expect industrial margins, including Cameron operations and amortization but excluding the impact of the inventory step-up, to be 14.5% to 15.5%. The inventory step-up will be reported in the first and second quarters, it's about $12 million per quarter. Since it's noncash and isolated to those 2 quarters, we felt it was more representative of ongoing earnings to spike out the step-up. If you remove the Cameron impact, the legacy Industrial segment has operating leverage over 50%. Please go to Slide 11.
 Transitioning to earnings. Our reported earnings per share guidance range is $3.42 to $3.60. Excluding the Cameron inventory step-up, restructuring and the Venezuelan currency devaluation, the range is $3.66 to $3.81, an increase of 10% to 14% versus 2014. When you exclude the impact of bringing Cameron revenue and earnings in for the year and currency, the legacy company leverage is at approximately 30%, and including acquisitions and currency, we should be in the 25% range. The $0.07 per share outperformance for the first quarter largely offset the additional currency headwind from the strengthening of the dollar against overseas currencies in the quarter. For example, we built our original guidance at a euro rate of USD 1.16 and our current forecast is at USD 1.08.
 Just as a reminder, the information we gave you last quarter to give you some simple math to gauge our sensitivity to currency movements, a 1% movement in the euro means about a $0.01 in earnings. If all currencies move 1% versus the dollar, that would be about $0.02 of earnings.
 To focus on second quarter guidance, see the right-hand column on the chart. Second quarter 2015 revenues are forecast to be up 4% to 5% on a reported basis. You can see the currency and acquisition impact on the slide.
 Reported second quarter earnings per share are forecast to be $1.14 to $1.18. The inventory step-up all hits in the first and second quarters and impacts second quarter by $0.03. We also expect about $0.01 of restructuring costs. Adding this back to get to an adjusted basis, the EPS range is then $1.18 to $1.22. We have provided EPS bridges for the second quarter in the appendix to give you the walk from year-to-year.
 For the full year 2015, we expect to generate free cash flow of $950 million to $1 billion, which is at our long-term target of 100% of net income. We increased the dividend by 16% to be consistent with the payout ratio in the peer range. We also utilized EUR 100 million of cash to pay for FRIGOBLOCK. We anticipate a minimum of $250 million of spending for share repurchase, which will offset dilution from equity issuances. So that leaves about $350 million of cash that will be put to either value-accretive acquisitions or share repurchase.
 We have a pipeline of acquisition opportunities related to our core businesses, and we weigh those risk-adjusted opportunities against buyback in terms of returns and shareholder value.
 Our strategies for growth and operational excellence have delivered a multiyear trend of excellent operating leverage, margin and earnings improvement. Our focus is to continue to grow earnings cash flow through further implementation of those strategies. We have proactively worked to deliver productivity and make prudent investments for the future. We continue to execute a consistent value-maximizing capital allocation program.
 In closing, we've given you a lot of data and analysis on our operations this morning. There are a lot of moving parts for this year's numbers and it's likely to continue as we go through the year.
 Filtering out all the noise, I hope it's obvious that our overall business fundamentals are strong. Our investments are fueling our revenue growth and our productivity improvements are on plan. Our 2 new acquisitions are on forecast, and we believe we have purchased 2 very sound businesses.
 There's still a lot of work to do, but I'm very pleased with our steady operations improvements and the growing maturity in our operations. Proud of the progress we've made, results we've delivered and believe we are well positioned for 2015 as well as for the future.
 And with that, Sue and I will be happy to take your questions. Danielle, I'll turn it over to you. 
Operator: [Operator Instructions] And our first question comes from Nigel Coe from Morgan Stanley. 
Nigel Coe: So just wanted to just kick off first of all with the margin bridge from the slides, and a little bit surprised to see 20 bps impact from price rolls this quarter, especially given the deflation we've seen in raw materials. So I'm just wondering, can you maybe make some commentary on price and why that was negative? 
Michael Lamach: Yes, Nigel. We had positive price in the quarter. We had a little bit of carryover material inflation just due to some of the assemblies that we're working on. But essentially, the price would come into the Asian market, particularly China, a bit into Latin America, which really in the last quarter or 2, those markets have struggled, and we've got some local competitors, I think, with some capacity to utilize. So that's been a bit more pressure there. We also had a bit of a rebate timing from Q4 to Q1, and if you sort of add that back to Q1 and normalize it, we were pretty close to being flat, which it is 20 basis points less than what we had hoped for, but it was fairly flat. 
Nigel Coe: Are we still looking for about 20, 30 bps benefit for the full year? 
Michael Lamach: Yes, we're challenging ourselves to do that. That's -- it's probably one of the challenge points in the forecast. But our plans, the road maps we're building, the countermeasures that we've got to realize price would have us doing about 20, 30 bps of price and material inflation gap. 
Operator: And your next question comes from Mark Douglass from Longbow Research. 
Mark Douglass: Is there a little bit of conservatism in guidance on the organic growth expectations? I suppose some of that's because 1Q is really seasonally weak. Don't want to read too much into the year, but your trends seemed pretty good and certainly outpacing the 4% to 5% organic growth expectations. 
Michael Lamach: Yes, I mean, the optimism in the quarter was the strong growth, but as you pointed out, it's seasonally such an insignificant quarter to the full year for us that we typically go back and fine tune in July, and we'll do that again this year. But your question and Nigel's earlier question, where we might see potentially some upside to volume, mix was not particularly favorable in the quarter for us. Currency is still quite a bit of headwind if you look at the euro at $1.08 and currencies where they are today, it's about $0.11 of headwind. We offset about $0.07 in the first quarter, but we've got more room to work for the balance of the year. And then, again, the pricing question, we've got a more aggressive view around pricing for the balance of the year. So you net it all out, I think it nets out to a balanced view on guidance. But specifically, on your question, if we were to see stronger markets by July, we would probably make a little higher call there at that point in time. 
Mark Douglass: Okay. And then you mentioned Industrial hits better than 50% incremental margin in the legacy business. Can you describe what's really driving such strong incremental leverage? 
Susan Carter: Well, I think it goes back to, Mark, what I talked about when I talked about the segment, is that if you -- they have a higher impact from currency, right? So if you take that out, that's a piece of it. And then if you take out the Cameron acquisition that in its early days and it's got all that purchase accounting, the business or the segment itself actually had positive price versus direct material inflation. They actually had productivity that offset inflation and so they actually had a very nice quarter in terms of operational performance that underlie the basics of that. So -- and also investments were in line with the revenue percentage in the first quarter of 2015. So you take out some of that noise that we talked about, they actually leveraged very, very well for the quarter. 
Michael Lamach: Club Car did a great job, too, doing what we expected against a very easy comp from last year, but Club Car did a nice job in the quarter. 
Operator: And your next question comes from Deane Dray from RBC Capital Markets. 
Deane Dray: A couple of questions. I was hoping you could give some clarity on that whole inventory situation with residential HVAC and the new SEER requirements and has that inventory been sorted out. And then secondly, some commentary on the strength you saw in EMEA that upped 22% x FX. 
Michael Lamach: Deane, on where we sit with 13 SEER, just for competitive reasons, we're not going to talk much about that. We really don't want to discuss our position at this point in time. The main thing we're trying to do is -- we saw across the business a lot of order volatility starting last summer. And I commented on that in the third and fourth quarter. And frankly, that volatility was broader than even the min-max requirements we would have for stocking key components. And so rather than trying to guess the volatility of the markets, we've expanded those min-maxes for key material, for components and assemblies, particularly in high margin businesses where cycle times were very short and there was some discretionary opportunities with customers that wanted to buy what was on hand. And so we took that up, and I think that's an important point because we're looking at fulfillment rate and cycle times we balance with inventory levels, and the net of that really is strong growth in the quarter and improved customer delivery rate. So I'm not sure where working capital will really end for us exactly, but frankly, if we can continue to get the strong growth, great fulfillment, it's an inexpensive investment in terms of EPS growth for the company. Europe discontinued the HVAC business, but I would also say across all the businesses, it performed very well. The standout was the HVAC business, as it has been for probably more than 1 year now. And it's a combination, I think, of -- it's just the winning combination of having the right management team on the ground, a lot of new product hitting the markets at the right time, and the combination of that, really coming together with some great results. I think they were probably north of 20% before currency in that business. 
Operator: And your next question comes from Jeff Sprague from Vertical Research. 
Jeffrey Sprague: Mike, could you give us a little more color on what's going on in the institutional markets, institutional applied in particular? And it does sound like commercial unitary was robust also. Is there any particular verticals there that are standing out? 
Michael Lamach: The interesting -- Dodge is calling for an 11% increase in institutional. It's about still 25% off its peak. And we've contended that you're more likely to see an extended sort of mid-single-digit institutional recovery perhaps over 2 or 3 years. Education is probably a little better than 5%. Health care is looking at probably a little less than 5%. Those are 2 important markets for us. I commented that we needed to see some education orders moving through the pipeline. We're seeing that, so that's a positive. And we would expect health care, which typically are going to be a bit more complicated, a bit more applied work going in there, applied engineering, applied product going in there, probably late this year, early next year. So that's shaping up. We're seeing strong still commercial and manufacturing construction going on. That vertical, as it relates to HVAC, I'm talking about industrial buildings being built, commercial buildings being built, continues to be strong. But we've had great success with light commercial. That is a product growth team for us. They've done an excellent job. Sue commented that we've seen double-digit growth year-over-year there. So we're very pleased with what's happening across that business. 
Jeffrey Sprague: And just a quick one for Sue to follow up. So we had FX gains, I guess, in other. Can you just describe what -- where you're at on hedging for the year and kind of what the strategy is and how hedged you might be? 
Susan Carter: Right. So when -- Jeff, when we think about what goes into the other income and expense and the favorability that you see in Q1, that whole line is going to be a couple of different items, one of which is the foreign exchange that I'll get to. What's also in there is earnings from some of our equity affiliates, some interest income and, as you might expect, the other cats and dogs on the P&L that don't fit in to another line item. In general, that line item is going to be somewhere between $2 million and $6 million favorable. And if you think about looking back to the fourth quarter, it was actually $6 million favorable. So you've got the $10 million in the first quarter, not unheard of. But the big drivers for the first quarter, to answer your question, were better earnings out of our equity affiliates, and then also the foreign exchange gains and losses outside of the Venezuelan currency devaluation. Now what happens with the foreign exchange gains and losses is the only thing that we do cash flow hedging on is our balance sheet position and things that are known to us. So when we put those hedges on, if the dollar is strengthening, when you close out those positions, you get a gain. And that's part of what we saw in the first quarter. It doesn't mean it's repeatable because as you roll those hedges, you're resetting the rates. And if you look at Q1, this is the biggest change quarter-over-quarter in terms of foreign exchange rates, particularly on the euro that would have been an average of $1.33 last year and $1.09 this year. So again, some nice gains that are in there from a transactional point of view. And we try -- there isn't a direct percentage that I would say is hedged, but we're looking at things with the intercompany loans and things that are known that don't have a lot of volatility and risk for those, and that's just a routine for us that we're putting cash flow hedges out for that. 
Operator: And your next question comes from Robert McCarthy from Stifel. 
Robert McCarthy: I just want to talk about the trajectory for the U.S. nonresidential construction in terms of how you're seeing it, in terms of the exit rate, in terms of orders coming into March and April. How are you feeling about the year? And then maybe if we could talk about operating margins throughout the back half. 
Michael Lamach: I think that a mid-single digit view is a good view. Again, I think that you'll see education maybe a bit of north of 5%, health care a bit less than 5%. We'll still have a good unitary business for office and manufacturing. So really sticking to that kind of mid-single digit. And to your earlier point, if things continue to shape up, maybe it's to the high end of that range, and we'll come back and adjust in July. 
Robert McCarthy: And just given the cadence for the year and all the noise you're seeing and obviously some of the incremental headwinds with FX, how should we think about the cadence for incremental margins of Climate throughout the back half of the year? 
Michael Lamach: Well, in general, for the company, I'd start -- you would look at sort of all-in reported about 25%, and if you take out acquisitions, you're probably closer to 30%, the gross margin of the company. Climate would do about the same. Interestingly, when you see translation in our company, obviously, it's going to impact businesses like Industrial will a have higher exposure to foreign currency, which is a higher-margin business than our Climate business. You also find it in the TK, it's one of the global businesses we have. And so obviously, the operating leverage -- or deleverage on currency there is higher coming back in. So it's obviously more difficult to offset translation per se. So we have to drive harder with productivity to be able to do that. And that's the road map that we're building. And so a lot of companies I know have taken down guidance as a result of currency. I thought, a, it was too early in the year for us to do that; and, b, we've had good success with productivities and good volume in the quarter and feel like the leverage should support staying with the range that we've got at this point. 
Susan Carter: And the other part of that, Robert, is going to be that -- the direct material inflation. We talked about we've got some inflation in the first quarter and a bit in the second quarter, some of that Tier 2 carryover in the back half of the year. We see that, that levels out and we're not getting material inflation, so that also helps the leverage in the back half of the year for, actually, both of the segments. 
Operator: And your next question comes from Julian Mitchell from Credit Suisse. 
Julian Mitchell: Just a question on the Industrial margins. You've got the target for the year of 14.5% to 15.5%. I just wonder if you think you'll be able to get into that in Q2 or it's really about a big sort of second-half move. 
Susan Carter: I think that as we look at it, Julian, our projections would say that we're going to continue to grow and that the second quarter will be stronger than the first. So I don't want to not allow for any breakage, but I think we'll start to see things get close to that range in the second quarter for Industrial. And when we think about what's happening there, they're still going to have the big FX impact, they're still going to have the Cameron step-up, but there is productivity and the additional volume that is going to help them. So the short answer to your question is, yes, we should get close to that in the second quarter. 
Julian Mitchell: So then my second question. Asia revenues organically were down sort of 4 consecutive quarters now. Just maybe give a bit of an update on that. I understand there's been a price war in Chinese HVAC for sort of 6 months or more. And do you think that your Asia business can get back to organic growth in the next 6 months? 
Michael Lamach: Well, the overall market is down, so it's not actually any sort of a share issue. And it's somewhat choppy. And we've seen this before in China in terms of the choppiness and the shortness of the cycles, that we've had years of 2 quarters down, 2 quarters up, net up, and I think that you're looking at that here. The pipeline there would support a back half of the year which is stronger than the front half of the year. And so even for the second quarter, we're likely to see sort of flat for the overall company, down in terms of bookings. But for Climate, I would expect to see an uptick in Q2, potentially high single digits, maybe even better, if bookings -- timing of bookings comes in as we would expect. And then for the full year, we should have, I think, pretty strong growth there in HVAC. 
Operator: And your next question comes from David Raso from Evercore. 
David Raso: My question's on Thermo King. The strength, positive in North America for a while, but seeing some improvement in Europe. Can you flesh that out for us? What are the order growth rates you're seeing in Europe? Just trying to maybe find a little offset to Thermo King is down in '15 domestically, do we have some international offsets? 
Michael Lamach: Yes, I don't think we've seen the order growth rates really coming back in Europe, although I think there is more optimism, in general, in Europe. And if you take currency out, obviously just look at the market for itself, there's more sort of optimism around Europe. But we didn't really see that in the first quarter. The growth we had in TK there, it was largely North American truck and trailer. But across the world, we would have seen great container growth again. We saw APUs with really strong growth, something near 50% in that regard. Also, air, rail and bus combined were up as well, David. So those businesses are becoming more significant as a total part of the mix at TK. North America's performing about where we thought it would be. Europe hasn't quite recovered, but we think we will a bit toward the end of the year on a constant currency basis. And we expect the ancillary products around rail, bus and APUs and containers to continue to have good growth. Overall, kind of a mid-single-digit view. 
David Raso: And for this year, at least, Thermo King domestically has a pretty healthy backlog. How far does it extend into? Does it cover now pretty much the majority of the rest of '15? 
Michael Lamach: We've got a pretty good view at '15. We're slightly less than ACT. Looking at 43,000 units, I think, in the last forecast, and we would be something a bit less than that at this point in time. So where ACT is calling for, say, 10%, we're calling for kind of more of a muted mid-single-digit growth rate there. Again, if there was some optimism, if we chose to view that, hopefully ACT is right. Again, this is where we've got inventory in place in case it is right. That typically could be some longer lead items on diesel engines, and that's one of the positions we took would be a stronger backlog of components in inventory there. 
Operator: And your next question comes from Joe Ritchie from Goldman Sachs. 
Joseph Ritchie: My first question is on Cam. You've had Cam into the -- in the fold for a quarter. I just wanted to see if you can give us an update on your outlook for that business. And specifically, whether you've seen any pricing pressure, particularly on the oil and gas side of that business. 
Susan Carter: Let me try to walk you through the business and the different markets that they're participating in. As we told you, they met our revenue and operating income expectations for the first quarter, and we're on track with generating the synergies and doing the things that we are planning to integrate the business. So everything is going along as we would expect with the business at this point in time. If I divide and go into the individual markets for them, processed gas, again, a piece that does have some exposure on the oil and gas side, we're actually seeing some strength in the business with natural gas and with LNG. There's some project delays that are happening in, perhaps, the Middle East. But petrochem is holding up as well as power generation in some of the pieces. So all in all, processed gas is holding up well. Plant air, we're seeing good activity there with the business, and the book-and-turn activity was good in the first quarter. Engineered air, which is the piece that is exposed to air separation and some of those markets, is showing a little bit of a pull back, and that's really more of an across-the-industry type of pull back, particularly in Asia where there was a lot of building and a lot of overcapacity in air separation. And on the aftermarket side, the aftermarket is stable for us. But we, of course, have plans to grow that, as we talked about when we did the acquisition. So all in all, we're seeing what we expected to see out of the businesses. The markets haven't really let us down in any big way. And again, our exposure, being more on the gas side than the oil side of this, are keeping us on track with what the plan was for the business. 
Joseph Ritchie: That's really helpful. One follow-up, I guess, just on the incremental margins just being slightly lower this quarter for a variety of different reasons, lots of moving parts. It seems given that you've got an expectation that you're going to get a little bit more price/cost leverage as the year progresses, I mean, is it fair to say that as we get into the second half of the year, you should see -- could you see incremental margins that are closer to the type of incrementals that you experienced last year? 
Michael Lamach: Well, if you go back to the first quarter guidance, we probably did just maybe a point or 2 better in terms of operating leverage than we had guided. So we're pretty close on that. Got there a little bit differently than what we expected: a little bit weaker price, material inflation; a little stronger productivity; a little better volume; a little worse mix. But the bottom line is it was a solid execution to get to the leverage that we had planned. When you look at getting the 25% reported op leverage, a 30% x acquisition op leverage, it would imply a better back half than front half. And I think we're, at this point, all of the productivity pipeline, all the plans we have for price realization are in place, so it's a matter of executing on that. But again, our forecast to be 25% reported, 30% x acquisitions on leverage for the full year. 
Operator: And your next question comes from Shannon O'Callaghan from UBS. 
Shannon O'Callaghan: Just a question on the acceleration in the Americas HVAC bookings, up to the high single digits. I think it's been a while since we've been there. Does that feel like sort of achieving lift-off to you guys or is there something sort of keeps you in check, whether it's because it's 1Q or something else you're seeing out there that doesn't want to extrapolate that? 
Michael Lamach: Well, I think we're getting great lift-off from the product growth teams we put in place. And again, I couldn't be more happy with the efforts of that entire team, which is a very broad team of product management, engineers, operational people and the whole selling organization doing a fantastic job with that. So I'm more pleased with the execution of the product growth team than I would be to call it any more than what I have, which is a decent institutional market which, believe me, we're delighted to see after years of negative, it'll be a positive. And I think that the commercial and industrial building and retrofit markets has some legs left as well, too. But again, we're -- all in all, even Dodge would say we're 25% off the peak, so we've got a long way to go. 
Shannon O'Callaghan: Right. And then just on the M&A versus buyback, with the discretionary cash, maybe just a little more color on what you're seeing out there in terms of the M&A environment, what kind of things you're looking at, sort of which segments or size we might view as possible. 
Michael Lamach: Well, we've taken the philosophy to -- across all of our businesses to look for the best opportunities. And so I think the filtering that we would do and the balancing that we would do would be at the corporate level. But as it stands right now, we've really got all of our businesses looking for the right tuck-in opportunities that are markets we know well, either channels that we can use to exploit new products and services or the other way around. We've got products that we need a channel for. And so those are the typical acquisitions we're looking for. Obviously, we're trying to balance toward a 15% overall operating margin target for the company, so that pushes us to looking for good businesses where the synergies are clear, and that's a tough threshold obviously to look at out there for us. But look, it's competitive out there in terms of acquisitions still today. A lot of these pipelines take a long time to develop. A lot of these are based on historical relationships, relationships we're building with companies that we would have an interest in. In some cases, they may be partners or suppliers to us in other areas. So it's across-the-board, Shannon, and I wouldn't highlight or isolate one particular interesting business for you. 
Operator: And your next question comes from Steven Winoker from Bernstein. 
Steven Winoker: A couple of questions I'd like you to put a finer point on. The first one is on your material inflation assumptions for the rest of the year. Copper, steel, particularly, seems to me like there's a lot more opportunity than what I'm hearing in your commentary. Can you just help me understand how you're thinking about your raws? 
Michael Lamach: Yes, copper and steel are moving in the right direction, Steve. We buy a lot more components than assemblies. That is twofold. One is, in some cases, you're paying more for overall general wage inflation or freight inflation in some of those commodities. It's not always just a material commodity decrease as a part of the assembly. But we're working with suppliers to make sure we're getting our fair share of that back, and where that's not happening, we'll clearly resource that to the supplier with a better price point. And that will take some time as well. So I think we're on top of it. We do see sort of a flattish to down overall inflationary environment. And certainly, steel and copper and zinc are factors that are positive in that as well as freight for that matter. 
Steven Winoker: Okay. I think you'd be in a pretty good negotiating position right now on those. On the other question, the finer point on volume mix. So 8% core growth; and volume mix, 100 basis points of expansion. Mix must have been really bad, or just help me understand the trade-off between those a little bit, given the very, very strong core growth you had. 
Michael Lamach: Well, Climate grew specifically in HVAC, much of -- sort of it was the largest contributor to the overall absolute in the company, and it was largely equipment. It has a long service tail on that and that takes a while to materialize over time. So look, when you're mixing higher Climate versus Industrial and higher HVAC versus TK, it puts a bit of a challenge into the mix. But that's really the sum of it. 
Operator: And your next question comes from Steve Tusa from JPMorgan. 
C. Stephen Tusa: The -- I think you guys are -- the majority of your inventories are -- what are they? 50% is LIFO, is that right? 
Susan Carter: Something like that, yes. 
Michael Lamach: We can let you know, Steve. 
Susan Carter: Yes. 
C. Stephen Tusa: Is there a dynamic there on how the raw materials benefits are going to kind of run through given kind of the more pronounced seasonality in your business? That's the first question. And what kind of impact that may have? And then just on the buyback, just remind us where you guys stand on your authorization for the buyback. And do you need a new one to kind of -- if you're going to do more in the back half, do you need a new one? 
Susan Carter: So let me take the share buyback because that's probably easier than LIFO, but I'll come back to LIFO. We had the $1.5 billion authorization in 2014 and as of the end of the year, we had utilized about half of that. So given the minimum of $250 million that we had said for 2015, that still will carry us through the year. So no problems on the share buyback authorization. On the LIFO side, with prices going down and volumes, there was no impact as I looked at the financials, really, in the first quarter from LIFO, and I wouldn't expect that to change as we go through the latter part of the year, Steve. 
C. Stephen Tusa: Okay, great. And then one last question just on the non-resi stuff. JCI also out there saying things are pretty positive. I mean, on the institutional front, I believe the Dodge forecasts have gotten a lot better. Maybe if you could -- just for the sales guidance, I mean, it just seems like things are getting better, not worse, out there. How much kind of visibility do you have into the back half of the year now for commercial HVAC? 
Michael Lamach: Look, I mean, we had great performance in the quarter, revenue; great performance in terms of orders applied. The books are filling up through the fall. Education, a little less applied. Health care, a little bit more applied. So you'd see more of a move up there. Unitary continues strong, Steve. That, I don't think is going to slow down much for the year. So yes, we are optimistic in kind of a mid-single-digit growth rate. Dodge has been optimistic for a long time. And so we've generally used our own pipeline and a triangulation of all the data that we have and have had a fairly accurate estimate over the last, say, 4, 5 years around that. I don't see any reason to change from that. With that being said, look, if there is some sort of a boom we're missing here, once again, it's this sort of component inventory, particularly on the applied side, that we're going to make sure that we're not cutting ourselves too thin in terms of inventory. And we have plenty of capacity. That's not an issue for us at all in the capacity for applied. 
Operator: And your next question comes from Robert Barry from Susquehanna. 
Robert Barry: I wanted to start by just clarifying what the message was on the commodities. I don't want to mince words too much, but I think on the 4Q call, you had talked about commodities still being a modest net headwind for this year and I know, Mike, you just mentioned that being flat to down. So I just wanted to clarify what the bottom line message is there. 
Michael Lamach: It's so close to flat that I couldn't call it either way, frankly. But it's certainly not going to be, to my mind, much of a headwind, if any headwind, at this point in time. If things continue as they're continuing, it would be a slight tailwind for us. 
Robert Barry: Okay. So that sounds a little better than what the message was last quarter, which... 
Michael Lamach: It's also part of why pricing probably isn't as strong, too. Again, it's all about this gap between price and some of the commodities, which drives some of the pricing in the marketplace. 
Robert Barry: Yes, fair enough. And then I also just wanted to follow up on the answer to a prior question about TK in Europe and clarify the outlook, I think you guided to low single-digit decline in Europe. In the first quarter, you're seeing high single-digit growth, I don't know if one of them is with currency and one is without, but maybe you can clarify that. And if you're seeing high single now and expect low single for the year, does that imply a meaningful deceleration through the year? Any color there would be helpful. 
Michael Lamach: Yes, European revenues were actually up high single digits organically. If you take FX against that, obviously you get a story, which isn't as rosy. 
Susan Carter: Yes, yes, the low single digits was with currency. 
Operator: And our last question comes from Jeff Hammond from KeyBanc. 
Jeffrey Hammond: Mike, you mentioned kind of being more confident in your product groups and the way you're going to market in commercial versus, say, optimism about demand side. Can you just give us a little more color on what they're doing right? What you're excited about from new product or how they're going to market differently that's driving that? 
Michael Lamach: Well, the market analytics and the segmentation we're doing around some of the customer segments has been really critical, both in understanding about what will grow and why, what competitors are doing, are likely to do, scenario planning around that, economic value estimation of the products we're launching and making sure we're valuing sort of the product versus looking at it on a cost-plus basis. All that really consummating and having an operations team, an engineering team and a product management team having the same goals and objectives. Just as an example, if a plant manager is looking to maximize inventory turns and a product manager is looking to maximize product availability, they're obviously in conflict. When these people all agree on what it that's being the #1 or #2 thing to grow market share and margins, great things happen. We've got those teams totally aligned on how to grow margin and how to grow market share. And if you talk to anybody on that team, no matter sort of what stripe they wear, from ops, engineering, sales or product management, they're going to give you the same exact answer. And that's where the investments are going and they're not going anywhere else. And again, this is why we've got 3, 4x growth in the overall portfolio last year. This is why I'm excited about doubling that this year and ultimately, this is why I'm excited about the next, say, 5 years because we'll build this thing out all the way. People are having great time doing this, they feel like they're winning, and we're going to keep going as fast as we can. 
Operator: I would now like to turn the conference back to Joe Fimbianti for any further remarks. 
Joseph Fimbianti: Okay. Thank you, all, very much for this morning. I hope to see you at our Investor Day in May. I'll be around for the rest of the day, so please call me if you have any additional question. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.